Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Actuant Corporation’s Fourth Quarter Earnings Conference Call. During the presentation, all participants will be in listen-only mode. Afterwards, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded Wednesday, September 30, 2015. It is now my pleasure to turn the conference over to Karen Bauer, Communications and Investor Relations leader. Please go ahead.
Karen Bauer: Good morning and welcome to Actuant’s fourth quarter earnings conference call. On the call with me today are Bob Arzbaecher, Actuant’s CEO; and Andy Lampereur, CFO. The earnings release and slide presentation for today’s call are available in the Investors section of our website. Before we start, a word of caution. During this call, we will be making forward-looking statements within the meaning of the Private Securities Litigation Reform Act. Investors are cautioned that forward-looking statements are inherently uncertain and that there are a number of factors that could cause actual results to differ materially from these statements. These factors are outlined in our SEC filings. Consistent with prior quarters, we’ll utilize the one question, one follow-up rule in order to keep today’s call to an hour. Thank you in advance for following this practice. And with that, I will turn the call over to Bob.
Bob Arzbaecher: Thanks Karen, and thanks for joining us on today’s call. I can honestly say I didn’t expect to be back doing quarterly earnings calls, but here I am back in the saddle again. I have spent the last month immersing myself in the business, and while there is always more to do, I feel like I am up to full speed. Just briefly, I will comment on the Board’s decision to make the CEO change. This was not a reflection of a strategy change and as you saw in this morning’s press release, not an issue related to fourth quarter. It was about leadership, business predictability, and execution. The Board’s Nominating and Governance Committee is leading the CEO search, which is expected to take 6 to 9 months to complete. I am prepared to stay on as Actuant’s CEO as long as it takes to ensure we have the right successor. Now, on to earnings, as you read in this morning’s release, we delivered $0.37 of fourth quarter EPS, above the guidance range. Excluding the benefit of lower income taxes, EPS was in line with our outlook. Core sales were also consistent with our expectations. While end markets remained weak, they have generally behaved as anticipated. We generated strong fourth quarter cash flow resulting in our 15th consecutive year of free cash flow conversion of at least 100%, which is an accomplishment we are all proud of. Looking at our free cash flow in relation to our market cap, today we have over a 10% cash flow yield. I will provide more detail on our three-year vision as Andy goes through the fourth quarter details and the fiscal 2016 guidance. Andy?
Andy Lampereur: Good morning, everyone. I am going to start today’s financial review on Slide 4 with the summary P&L. Fourth quarter sales were $300 million and EPS was $0.37 a share. Compared to last year, both sales and earnings were hurt by the stronger U.S. dollar, inventory destocking, and weaker end-market demand. As with last quarter, our sales declined 15% year-over-year and our SA&E costs were down slightly more, but lower gross profit margins resulted in operating profit margin erosion. Significantly lower income taxes as well as fewer shares also comes into play in year-over-year comparisons. Versus guidance, our fourth quarter sales and margins were in line with our expectations. As anticipated, production levels and absorption declined in response to continued weak end-market demand, exacerbated by inventory destocking efforts by both us and our customers. This, along with $3 million of restructuring costs, weighed on profit margins in the quarter. As you can see here on Slide 5, our core sales in the quarter declined 7%, in line with our guidance of minus 7% to 9%, and the 8% decline in the third quarter. Consolidated fourth quarter sales were down the same 15% that we saw in the third quarter, with the strong U.S. dollar accounting for 8% of that decline. Each of our three segments reported core sales declines with Energy’s year-over-year trend being a little better than last quarter and Engineered Solutions slightly worse. We continue to see weak demand globally with sales in traditionally higher growth markets such as India, China, and Brazil weakening sequentially as well. With the exception of mid-single-digit core sales growth in heavy duty truck and resin commercial construction, all of our primary end markets continue to be challenged. I will provide more color on sales by segment shortly. Consolidated fourth quarter operating profit margins were 9.6%, down 400 basis points from a year ago. All three segments were impacted by reduced production levels in volume, which led to lower fixed cost absorption. This was contemplated in our guidance for the quarter, that’s where the approximate $3 million of downsizing costs incurred across our businesses. We reduced our inventory by $12 million on a core basis in the fourth quarter alone and that coupled with consumer or customer destocking as well had an ugly impact on our profit margins. From a cost standpoint, we were pleased with the continued progress in reducing our SA&E costs, where headcount declined 7% compared to a 5% core sales decline for the entire fiscal year. Results in the Industrial segment were pretty much in line with our expectations and reflected soft demand in part due to distributor destocking efforts. As you can see on Slide 7, fourth quarter core sales were down 5% year-over-year and included results from Hayes for the first time. Within Enerpac, we saw core declines in both the integrated solutions and industrial tool product lines. With the exception of Europe which had a decent quarter, other regions were all down. The weak demand is spread beyond mining and energy markets based on end user and distributor feedback and its leading distributors to reduce inventory levels to match this demand. This lower demand and our efforts to reduce inventory levels for the industrial segment margins in the fourth quarter which declined 300 basis points year-over-year. Unfavorable sales mix and the stronger U.S. dollar also provided margin headwinds. From the 100,000-foot level, industrial performed in line with our fourth quarter expectations. Turning now to Slide 8 with some comments on the Energy segment, on an aggregate basis, the segment came in slightly better than our expectations due to Hydratight and Viking. Hydratight actually had 1% core sales growth as it benefited from some of the service jobs that have been deferred from the third quarter. Viking posted its first core sales decline of the year. It was down 14% core, following double-digit growth in each of the last three quarters, which was better than we had expected due to some small jobs that Viking picked up in the North Sea. Cortland revenues in the quarter were down in the mid-20% range, in line with our expectations and the trend from the current year. The combination of high service revenue at Hydratight and lower year-over-year Viking revenue with Viking’s high decremental margins as well as additional downsizing costs in this segment resulted in a 570 basis point decline in segment margins compared to last year. These lower margins were not as a surprise and had been baked into our guidance. While condition from the oil and gas markets certainly can’t be described as positive, we continue to be encouraged by the fact that not everything has come to a screeching halt. And as we have said throughout the year, new jobs are being put up for bid and we are winning our fair share of them. During the quarter, Hydratight had two significant wins: first, a significant maintenance job in the Middle East that’s already in process as well as its largest subsea connector order ever. Both of these wins will benefit fiscal ‘16 revenues and reinforce the fact that a large part of Actuant’s oil and gas business is maintenance and OpEx oriented and mission-critical as long as oil and gas is being extracted and processed. Now, we will turn to the Engineered Solutions segment on Slide 9. Overall, segment sales were down 17% with core sales being down 7%. While European truck demand continued to show year-over-year improvement, trends in ag and off-highway equipment weakened sequentially. Part of this incremental weakness was a result of destocking efforts by OEMs, but underlying demand in most end markets was poor. As a reference point, we supply Engineered Solutions systems into many of CAT’s end markets and we echo the weakness they communicated in their restructuring announcement last week. Profit margins in this segment were disappointing, but again in line with our guidance. We typically have several plant shutdowns in the fourth quarter that near those of our OEM customers. So fixed manufacturing cost absorption was poor. And this was exacerbated by our own inventory reduction efforts, which were successful in bringing down Engineered Solutions segment inventory by 7% in the quarter. Restructuring costs associated with Maximatecc’s manufacturing footprint as well as a strong U.S. dollar were also headwinds in the Engineered Solutions segment. That’s it for my comments on the segments and now we’ll shift to the balance sheet and cash flow. We hit and exceeded our fourth quarter free cash flow target, resulting in full year free cash flow of $113 million. Included were sizable primary working capital reductions and an expected income tax refund. Our full year fiscal ‘15 free cash flow once again exceeded our net income, excluding the second quarter impairment charge, making it the 15th consecutive year of free cash flow conversion of at least 100%. Consistent with our messaging over the last six months, we scaled back buybacks with about 300,000 shares repurchased in the fourth quarter. For the full year, we deployed over $200 million of capital and buybacks, largely reflecting the deployment of last year’s divestiture proceeds. Now let’s turn to 2016 guidance here on Slide 11. Our guidance reflects the market conditions I just reviewed. We expect these trends to continue in the first half of fiscal ‘16 and then give way to sequential improvement. We expect that the first two quarters of the year will look a lot like in the last few, with core sales down in the high single-digits. As we get deeper into fiscal ‘16, we expect to have stabilization and easier comps, which is how we arrive at our full year core sales guidance of minus 1% to 4%. By segment, we expect Industrial core sales to be down 1% to 4%, not much different than this year other than the calendarization, where the weaker quarters in fiscal ‘16 will be at the front end of the year compared to the back end as in fiscal ‘15. We expect Energy segment core sales to be similar to the fourth quarter run rate in the first half of the New Year and then improving in the back half of New Year comps and the benefit of some of the new project wins I just covered. By business, Viking core sales rates will be weaker than in fiscal ‘15 while Cortland and Hydratight will be less worst. Engineered Solutions core sales are expected to be down low single- digits in fiscal ‘16, benefiting from growth in truck and some of the wins in Maximatecc. We are expecting ag to be down high single-digits. In addition to the core sales changes, we will have an approximate $40 million year-over-year sales headwind due to the stronger U.S. dollar based on today’s rates. As a reference point, the stronger dollar impacted our reported fourth quarter sales comparisons by $30 million alone. On Slide 12, you can see what these core sales assumptions mean for the full year in our first quarter guidance. We are projecting full year EPS guidance of $1.20 to $1.40 a share on sales of $1.16 billion to $1.2 billion. For the first quarter, we expect EPS of $0.20 to $0.25 a share on sales of $275 million to $285 million. We will bridge the full year EPS on Slide 13 in just a minute. Our EPS guidance in both cases assumes 60 million shares outstanding for EPS purposes and consistent with past practice includes no future stock buybacks. It also does not include restructuring charges or potential acquisitions that Bob will discuss shortly. And guidance will be updated quarterly based on actual activity. We prepared Slide 13 to bridge the fiscal ‘15 EPS of $1.65 excluding the impairment charge in the second quarter to $1.30, which is the midpoint of our fiscal ‘16 EPS guidance. We have a $0.04 a share benefit carryover from the impact of completed buybacks in fiscal ‘15. Again, we have not built in any further stock buybacks into our guidance consistent with past practices. Our effective tax rate in ‘15 was very low due to favorable planning and audit closures and creates a $0.15 to $0.20 a share EPS headwind in fiscal ‘16. At an estimated 17% to 19% effective tax rate in fiscal ‘16, our tax rate is still lower than most peers. The stronger U.S. dollar will be a headwind for us in the first half of fiscal ‘16, assuming it doesn’t change from today. And based on today’s rates, this is about $0.08 a share headwind between translation and transactions. The decremental profit hit on the forecasted 1% to 4% core sales decline plus all other items costs $0.14 a share in EPS. Taking all factors into account end markets currency and other items, we are not forecasting full year earnings growth, but hope to do so in the back of the year. That’s it for our prepared remarks on guidance. I will now turn things back over to Bob.
Bob Arzbaecher: Thanks Andy. Before talking about capital allocation priorities, I wanted to talk about our free cash flow, the fuel that creates growth. As Andy just reviewed, we have had 15 consecutive years of free cash flow conversion over 100%, few companies can match that. We use this cash flow to fund our growth initiatives, stock buybacks and acquisitions. We have several tuck-in M&A targets in the pipeline right now that are looking promising and hopefully we will have one or two cross the finish. We are focused on tuck-in acquisitions with tight fits to our best business Enerpac, Hydratight and agriculture. Tuck-ins are modest in size, strategic to our core businesses and will make them even better by improving the competitive mode and providing synergies around them. One final word about capital allocation, regardless of M&A activity, we still expect to continue to deploy some capital and opportunistic stock buybacks during the year. Moving to restructuring, we are seeing success in our G&I expenses and as Andy highlighted a couple of new wins in the Energy segment, our results of that targeted investments. While we are protecting these investments, we are also going to incrementally reduce our cost structure to better position Actuant for higher profit margins down the road. As highlighted in today’s press release, we are planning on taking restructuring actions totaling $25 million over the next 18 months. The majority of this will be recognized in 2016 and will be slightly over a 2-year payback. You can categorize these actions in two primary buckets. One bucket is simplification by reducing organizational structure and in layers. The second involves facility consolidations that will be done to reduce our fixed costs and help drive future margins. We have excluded these charges from the fiscal ‘16 guidance that Andy just reviewed as the timing in the amounts are inherently difficult to estimate. Because of the scale and scope of these actions and the average 2-year payback, the savings benefits begin in earnest in fiscal 2017 with only modest savings in the back half of fiscal ‘16. Rest assured we will provide quarterly updates on the savings and costs as we move through the year. Now shifting gears, since I have been back it’s become obvious to me that we need to do a better job of communicating both internally and externally about where Actuant is headed. Not just next quarter or next year, but a longer-term vision for the company. As shown on Slide 16, we have announced an EBITDA target for Actuant of $300 million in EBITDA and 18% EBITDA margin by the end of fiscal 2018. This target was the outcome of the annual strategic planning process that was reviewed and approved by the Board of Directors in our July meeting. We don’t take these strategic long-term targets lightly. I know firsthand the importance of the mantra set, manage and deliver. Set the expectations for the organization, manage the critical drivers to success and minimize the risk that can derail a plan and then you will deliver the results. While I am only here as the new – until a new CEO is hired, the Actuant organization is already behind this 2018 vision. So let’s discuss some of the key items that will make this vision a success. To grow EBITDA from $190 million to $300 million, we need to drive three things. First, we need to implement and execute our 2016 restructuring plan flawlessly and so the savings can be realized quickly. The combination of these restructuring benefits and normal continuous improvement under our lead operating system should generate sizable EBITDA improvement by 2018. And this will be net of some incremental investments we want to deploy on our growth and innovation efforts. Second, we need to have improvement in our served markets, especially energy, mining and agriculture. While I don’t see this recovery in 2016, I think financial results at Actuant are going to feel much better after we anniversary our slowdowns in energy and industrial and begin to look forward into 2017. In addition, after spending time with our segments, I am convinced that our leadership positions in our served markets will yield strong incremental returns as the economy improves. We continue to work on growth and innovation projects, which will augment that growth as we get from – that we get from our recovery. Finally, acquisitions, as I discussed previously, our acquisition funnel is looking good. My expectation is we will deploy the majority of our free cash flow on tuck-in acquisitions over the next three years. I will cover this 2018 vision with a little more detail at Investor Day next week. Obviously, everything has risk in it and economic and geopolitical events could affect the outcome of this vision, but the leadership team feels stronger that we can achieve it and we are taking the appropriate actions today to position Actuant for a $300 million EBITDA and an 18% EBITDA margin by 2018. In summary, 2016 will undoubtedly be a transitional year for Actuant with the restructuring actions I have described and a new CEO by the end of the fiscal year. We are aggressively driving cost to position us for higher profits and margins in the future. Our cash flow and balance sheet liquidity are strong and will easily support our capital allocation priorities. Operator, that wraps up our prepared remarks. Let’s turn the phones over for the Q&A session.
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Matt McConnell with RBC Capital Markets. Please proceed.
Matt McConnell: Thank you. Good morning and welcome back, Bob.
Bob Arzbaecher: Well, thanks Matt.
Matt McConnell: Could you give us a little more granularity on that $300 million EBITDA forecast? And to talk about your level of conviction on that and maybe specifically on the $50 million that you expect to come from an end market recovery, just maybe go through how did you get to that $50 million number? What are you assuming from the end markets during that forecast period?
Bob Arzbaecher: Well, to try to do all of that in a 1- or 2-minute response is going to be a little difficult. So, I am going to remind you that come to Investor Day next week and you will probably get a little more. But let me talk about it in a few general terms today. The first piece is just to set you on expectations. Actuant did about $260 million of EBITDA in 2013-2014 timeframe before electrical was sold, before RV was sold, but before Viking was bought. And those three probably, these positions were probably about $35 million to $40 million at EBITDA and then offset by Viking coming back the other way at about $20 million. So, when I backstop it, what are we looking at, we are expecting modest recovery, not all the way back to the ‘14 level across every business, but getting back to the kind of ‘13, ‘14 neighborhood, which gets us a big chunk of that piece of that $50 million. That growth and innovation will continue to add value to some of the markets we play in like resi and commercial construction, with the Hayes acquisitions will add some growth. So, it’s broken down business by business. I don’t think I am going to guide you to that. It’s a big bucket and there will obviously be changes between those buckets that I listed, but hopefully that gives you some comfort that this was a tops-down and a bottoms-up analysis.
Matt McConnell: Okay, great. Thanks. I will stay tuned and certainly get more when we see you next week. And then maybe switching gears to Industrial, it’s just been so volatile lately for you guys and the sector. Can you just give us a sense of what you are seeing there, like how big of an impact did destocking have on your Industrial segment this quarter? What drove the modest increase in Europe and how weak did China get? Just any kind of incremental insight there would be helpful.
Bob Arzbaecher: Okay. Well, I will start and Andy, you follow up. As Andy said in his prepared remarks, Industrial did what we expected it was going to do for the quarter. So, there was not any large change in the predictability of the business. When we look at the pieces, China was incrementally weaker and the Asia-Pac region, which is influenced by China demand, I think also felt some of that. We did better in Europe and we did okay in North America. Andy, anything you would add to that?
Andy Lampereur: No, I think you’ve got it.
Matt McConnell: Okay, great. Thanks very much.
Operator: Thank you. And our next question comes from the line of Allison Poliniak with Wells Fargo. Please proceed.
Allison Poliniak-Cusic: Hi, guys. Good morning.
Bob Arzbaecher: Good morning, Allison.
Allison Poliniak-Cusic: Good to hear your voice, Bob. Just kind of going back to Matt’s question on the inventory side with Industrial sort of we have been through this destocking and this is sort of our second quarter. How far do you think we are into that? It seemed like distributors are running pretty lean, but just any thoughts on that, how far that should go at this point?
Andy Lampereur: A lot of our, I guess, G2 or feedback on this thing is based on what we are hearing from North American distributors in particular, what we are definitely seeing it in the Canadian distributors and South American distributors in Brazil as well. And they have definitely peeled back their inventory levels pretty much in the U.S. We are hearing distributors did not bite – if you remember back in the May quarter, they did not bite on buying ahead of our price increase, and the feedback from them was we are trying to reduce inventory, not increase inventory, so why do we want to load up right now. So, I think they are just – this malaise, if you will, clearly has spread much way beyond just energy and mining, and it’s impacting other areas of Industrial as well. And I think distributors were expecting a bigger second half than what they are going to see play out and they are peeling it back, but beyond that, we don’t have specific data how much inventory we have in our system or in our distribution system out there, because these are all independent businesses, smaller businesses. It’s quite a bit different than say looking at the Home Depot channel and seeing what’s out there. I just can’t do this.
Bob Arzbaecher: But to use the baseball analogy, I think we are in the later innings of the stock, stocking and destocking that’s going on in distributors. The challenge was in Andy’s prepared remarks. We were still growing in the first quarter with Enerpac of last year. So, I don’t think it’s going to be destocking related, but we are going to be challenged for those core growth numbers until you get into the third and fourth quarter. As I said, this business was predictable in the fourth quarter, and so destocking tends to be something that is unpredictable. So, if I am saying we hit our numbers, I am saying destocking was a manageable number, and I think we are in the later innings of that.
Allison Poliniak-Cusic: That’s great. Thanks. That’s helpful. And then just on a global perspective, obviously, Actuant had a focus on emerging economies and they are certainly challenged today. Maybe just give me your thoughts on sort of the long-term opportunity for Actuant as you are seeing it today?
Bob Arzbaecher: Yes, I mean, I continue to be favorably inclined to grow our emerging businesses. I think India, we have won a number of truck wins recently as some of the big OEMs in Europe globalized their distribution and their fleet. We have done well in some energy markets in new things that we hadn’t done in the past. So, we are doing more rental in China that’s been beneficial. So, I am pretty optimistic that what you are seeing now isn’t – when you take a longer term horizon isn’t going to last in some of the Industrial markets that we are in. We don’t do a lot of commercial construction in China. And I think that’s going to be a very difficult market. We don’t play a lot in that kind of area. Our stuff is more infrastructure, roads and ports and bridges and things like that. When I think about China – when I think about India, I think we are in good shape. We have got a great leader there that represents all the Actuant businesses. I feel pretty good. Brazil is a place that’s tough. We got Petrobras really feeling it, and obviously, that influences Actuant’s business along with a lot of others. Agricultures and any picnic down there either and those are kind our two big markets there. So, out of the three, I guess I have put Brazil a little lower than the other two. Andy, anything you want to add to that?
Andy Lampereur: I think what you are saying is right. Even in markets where the economy is slow like Brazil, there was a lot of interest in customers down there for some of our other products that we are just starting to introduce down there. So, we are optimistic that we will hit some share down there and we will grow over time. We are not focused on the next quarter.
Allison Poliniak-Cusic: Great. Thanks so much.
Bob Arzbaecher: Yes. We also have some positive in both China and India on our sourcing strategies there, because obviously, with those economies down, sourcing we have had some success with cost reductions and talking to vendors and people who supply our cost system product. It’s a little more of a buyers market, so to speak in that regard, so there is puts and takes.
Allison Poliniak-Cusic: Okay, perfect. Thank you.
Operator: Thank you. And our next question comes from the line of Jeff Hammond with KeyBanc Capital Markets. Please proceed.
Jeff Hammond: Hey, good morning guys.
Bob Arzbaecher: Good morning Jeff.
Andy Lampereur: Good morning Jeff.
Jeff Hammond: Hey. So I just wanted to understand a little bit better how you are thinking about decrementals in the energy business as you move through the year, kind of given the moving pieces in the different businesses and where do you think margins really trough out for energy and maybe longer term within that ‘18 framework, what do you think is kind of the new normal for the Energy segment?
Andy Lampereur: Yes. I guess I will attack the first part of that question, Jeff. From a margin standpoint with energy, if you just remember what has happened this year, Viking just went negative for the first quarter of fiscal ‘15 and Viking by far has the biggest incremental and decremental margins. So that’s going to put pressure on our margins for the next fiscal year within energy. Our next higher margins in the segment are with Hydratight and that’s the least impacted from an economic standpoint, it’s more tied in with maintenance and OpEx and that sort of thing. And certainly, we expect some down core sales quarters coming up in the first half of the year. The year here, it’s not the scale of what you are going to see go down in Viking as an example. So I don’t think we have hit the bottom quite yet. I think we are awfully close, I think on margins in the Energy segment. Could they drift down another 100 basis points or more right now, they quote over the course of the next couple of quarters on this thing. But I mean where we are certainly not expecting margin degradation or erosion much more than that in fiscal ‘16. I mean I think as we get to the back half of the year, you are going to see improvement coming up as Cortland in particular should be coming out and we have anniversaried some of the slowdowns and people do have to do maintenance on the Hydratight side. Of course the other piece here is the savings coming in from maintenance – excuse me, from the restructuring projects that we already kicked off last year. We laid another batch into it late in the fourth quarter. And we will be doing a few more incremental things here in ‘16 as well.
Bob Arzbaecher: I think when you look longer-term to the ‘18 timeframe, Jeff we don’t see any reason we can’t return to more historical norms within Energy. There is nothing fundamentally different about the mix, if anything with the Viking stronger margins, newer to the thing I would think we could return to the ‘13, ‘14 type margins that we experienced in this business before it slowed down.
Jeff Hammond: Okay. And then just on the $25 million restructuring, are you able to kind of bucket it between simplification and facility consolidation. And should we think of any of the particular regions or businesses as getting a greater percentage of that number?
Bob Arzbaecher: The facilities side or leases is probably a little bit more than half of it overall. But in terms of how it spreads out geographically or how it spreads out across the segment, each of the three segments will be participating in this thing, it’s pretty spread out across all of them.
Jeff Hammond: Thanks guys.
Operator: Thank you. And our next question comes from the line of Mig Dobre with Robert Baird. Please proceed.
Mig Dobre: Yes. Good morning everyone. Mig Dobre here and Bob welcome back.
Bob Arzbaecher: Thanks.
Mig Dobre: First question for me is just trying to attain a little more comfort with the fiscal ‘16 guidance. If I just kind of look at the first quarter guidance, the EPS that is, it amounts to about 17% of the total EPS figure for the year. And we also sort of now that in the second quarter, we typically see a step down in earnings just due to seasonality, if I look back historically, what I see in my model is that roughly 20% to 25% of the full year earnings are generated in the first quarter, you are guiding for 17% this time and we know that the second quarter typically has some seasonal headwinds, how do we get comfortable with the fact that the back half seems to have such a significant ramp in earnings to deliver the full year, especially given that your cost savings are not really going to start flowing until fiscal ‘17 per your comments earlier. What happens and in what segment do we have to see this significant ramp as the second half arise?
Bob Arzbaecher: When I listen to your comments on kind of the spread out for this seasonality or the calendarization of the forecast, here I mean I hear what you are saying, but when I look at laid out in front of me for the year, I mean I am taking into account what we were talking about as far as more currency headwinds in the first part of the year. We are seeing this destocking, this slow down, more sluggishness, if you will on the energy side in the base Viking business which is the higher margins on this stuff. We expect things to be already less worse as we get into the back half of the year as it relates to Hydratight as it relates to Cortland. We will have been negative for six quarters within Cortland by the time we hit the midpoint of the year. In the last time around, when we saw this in the great recession, we had 20% type increases in that business in the following four quarters. So there is a bit of a rebound in there. We talked earlier about some of the wins that are coming through in the energy sector and that connector when it’s sizable is going to be hitting in the back half of the year. That is a very profitable product line for Hydratight as well. So I think I look at those factors, the little bit carryover destocking that we expect in the first half of the year to work its way through and I guess we are comfortable with our guides. Of course, there will be some restructuring savings coming through in the back half of the year. Not a lot, but you are going to see a little bit in the fourth quarter as we roll through that you won’t see in the first quarter and that’s a piece of it as well.
Mig Dobre: Okay, I appreciate it. So basically a lot of it wouldn’t depend on energy, am I correct in that?
Bob Arzbaecher: Energy and industrial. In industrial, industrial does get impacted by energy. So it might be one and the same. But we think mining and energy that come through in the Industrial segment will be less worse in the back half of the year.
Mig Dobre: Okay, I appreciate that. Then switching to the 2018 targets and I think Matt was asking about this $50 million figure as well. Asking this question maybe a little bit differently, if the lower for longer thesis is proven to be correct, meaning that these end market simply won’t recover as quickly as we all sort of hope they will, what does that mean for your operating strategy?
Bob Arzbaecher: Okay. Well, it – I have read in earnest all the lower, longer theories that are out there and I don’t actually disagree with them. And I am not saying that our guidance for the back half of the year doesn’t incorporate some of that. What I think it continues to be misunderstood about Actuant’s energy assets is how much of it is OpEx versus CapEx related and how much of it has nothing to do with the price of oil. So the large order that Andy talked about that we are doing, that’s a joint integrity. It’s for a refinery, okay. Refineries are doing fine right now. The input cost is low. There is plenty of gas. There is no demand issue. Refineries are okay, okay. So, there are things like that that continue to do well. I think about chemical plants, fertilizer plants. There is a number of other markets that our joint integrity and our joint maintenance that we do continues to move along. And so I don’t – I think people attribute our businesses much more to price of oil than they probably should. And I just think we have much more of a maintenance side. As Andy said, Hydratight grew in the fourth quarter because of pent-up demand. You can’t delay these turnarounds forever. There are requirements from a safety point of view that these guys won’t – will not try to cut the corner on, they have to turn around assets and we continue to see that be a big piece. We are seeing a lot of power gen turnarounds right now in the U.S. So, there are chunks that I just don’t think are well understood in the lower, longer, while I believe it will impact some of our very front-end businesses. I don’t think in totality, it’s a theme that’s going to bother us as much as you guys expect.
Mig Dobre: Okay, thank you and good luck.
Operator: And the next question comes from the line of Charley Brady from SunTrust Robinson Humphrey. Please proceed.
Charley Brady: Good morning.
Bob Arzbaecher: Good morning, Charley.
Charley Brady: Just a couple on Industrial and can you tell us the degree of IS and tools were down in the quarter?
Andy Lampereur: They were both similar in terms of their core for the quarter. I mean, they were both down. It certainly vary by region. Last year, we had a big IS project in the U.S. that didn’t repeat. This year, we had a big one over in Europe, but they were both down.
Charley Brady: With IS down double-digits and I guess I am trying to get to is when do we anniversary the kind of large declines we saw in IS, a more normalized, even if it’s down, it’s not down 20%, 30% type of levels?
Karen Bauer: No, it wasn’t down double-digits.
Andy Lampereur: No, no, it wasn’t.
Karen Bauer: They were down overall 5, Hayes, PSL, was in the number, this time, core so that was the growth. So, if you kind of infer the other two, then we are down just a little bit more than that 5.
Charley Brady: Okay, got it. That’s helpful. And I guess, just on ES, what’s your expectation for European truck growth in ‘16?
Andy Lampereur: I think we are looking at mid single-digit growth. We had our business leader in here actually this week from Europe and he was pretty bullish on what he is seeing in terms of order rates and what we had expected, what he had baked in and where the built-to-suit are…
Bob Arzbaecher: That’s off to a good start.
Andy Lampereur: It’s off to a good start. Yes, so we are feeling pretty good on that one right now. Certainly, not gangbuster, but I mean, it’s we are expecting mid single-digit type growth.
Charley Brady: Great, thanks. We will see you next week.
Bob Arzbaecher: It sounds good.
Operator: Thank you. And our next question comes from the line of Ann Duignan with JPMorgan. Please proceed.
Mike Conlon: Hi, this is Mike Conlon on for Ann. Good morning.
Bob Arzbaecher: Good morning.
Andy Lampereur: Good morning, Mike.
Mike Conlon: You guys noted the negative mix in Hydratight hurt margins a bit in the quarter. Can you just expand on that a little bit and provide some color?
Andy Lampereur: Sure. Within Hydratight where we do about one-third of our revenue comes from service, one-third comes from rental and another third comes from product sales. As we called out, our service work was quite high in the quarter and that carries the lowest margin of the three categories. So, that’s really what impacted our mix in the quarter.
Mike Conlon: Are the other two pieces of that of a similar margin or how would we expect the mix to move going forward?
Andy Lampereur: Well, next year, it should be pretty good, especially in the back half of the year on this win that we talked about, the subsea connector win. First, the current quarter we are in I called out the service job, large service job in the Middle East that will probably put a damper, if you will, on the margin...
Bob Arzbaecher: But good utilization.
Andy Lampereur: Yes, but flipside as utilization will be better, but I mean, so when I look at it as a result of those two factors, this kind of play into what I said earlier, Energy margins, Hydratight margins will probably be weaker in the first part of the year than in the back half of the year.
Mike Conlon: Thank you.
Operator: Thank you. And our next question comes from the line of Scott Graham with Jefferies. Please proceed.
Scott Graham: Hey, good morning and welcome back, Bob.
Bob Arzbaecher: Good morning, Scott. How are you?
Scott Graham: Okay. I have a little bit of a mass verification and I hope you guys can help me with some. I am looking at the implied sales for fiscal ‘18 of about $1.7 billion off of your Page 16 chart, which suggests about 10% to 11% of growth a year. And if my math is correct on your tuck-ins, it seems like you are expecting about, call it, 7% of that from acquisitions and 4% organic. Is my math in the ballgame there?
Andy Lampereur: I think your math is in the ballgame, but I am going to do the same thing, I did the math earlier. That will be a subject where we can get into a little more depth with you on next week.
Bob Arzbaecher: But you have got – the first year is going to be down on core growth and then it’s going to come back. So that’s entering into the core assumption or what you are seeing the perceived growth in the base business.
Scott Graham: Got it. The other pocket with the market recovery sort of a question earlier before maybe just a different slant, if we were to take energy, ag, mining and industrial as we stand at the end of 2015, what percent of sales is that for the company?
Bob Arzbaecher: Energy, ag, what was the other one?
Andy Lampereur: Mining.
Scott Graham: Mining and industrial?
Karen Bauer: I don’t have the fact sheet in front of me, but the updated fact sheet is on the website already, so just pull up the back page and that are filled out or outlined on there.
Bob Arzbaecher: Karen, you are the best. Thank you.
Andy Lampereur: Yes.
Scott Graham: It’s more than half.
Andy Lampereur: Yes, just I don’t have industrial right on my fingertips here, but energy is 30%, ag is 10%...
Karen Bauer: Industrial is about 15%...
Andy Lampereur: 15% and mining is a couple of percent...
Karen Bauer: 4% or 5%.
Scott Graham: That’s perfect. Thank you, guys. Thank you. Karen, last question, on the G&I, Mark obviously was a big fan of this and but at the same time fully acknowledged that G&I investments were not delivering what you guys had hoped for. So, Bob, how does that change from here?
Bob Arzbaecher: Yes. In fact, I had a major employee meeting this morning and we talked about the exact same issue. So, I think it’s not that the prior investments, they didn’t work to the level we wanted, but you got to understand, it’s very similar to adding [indiscernible] organization. You got to start by training the organization of the tools you have. The Tracy tools, the Michael Tracy tools that we followed are very analogous to what you do on continuous improvement in an OpEx point of view. So, we had to learn the tools, okay. And the way our original investments were spent in G&I, there was a lot of training. There was a lot of small projects peanut buttered across all of the locations so people could get used to using the tools, okay. And we had some great successes. The joint integrity that I talked about was absolutely one of our successes. The ag seeder, while it’s having a tough year now because it’s down was a smashing success last year, contributed $20 millionish revenue associated with that G&I. So, there were lots of good examples that worked. In the future, the organizations trained. We are not going to be spending as much time on training and we are not going to be peanut buttering that investment across all locations. We are going to be putting it towards projects that tie exactly to one of our businesses. So, there is some move a foot about smart pumps within Enerpac, okay. We are not to a point where we are talking about it as a brand new product line that’s going to reinvent the world, but that’s an area that we are excited about, makes a lot of sense to us from a safety and productivity point of view, okay. Hydratight, in the under subsea clamping, there is a lot more we can do in terms of remote actuation and different things. When you go over to Cortland, there’s a lot more we are doing within structural health monitoring is a product we call that analyzes the inside of a rope and that conversion from cable to rope that will help that. So, our growth and innovation investments are much more targeted towards specific identifiable projects this time versus spreading them across from the organization could try the tools get trained, etcetera. So you had to do the first before you can get to the second. That would be – so I don’t look back and worry about the past. I am looking at it and say we needed to train people. Now we have got that done, here we go and the investments will be much more impactful.
Bob Arzbaecher: So a lot of it is prioritization. And it’s we are prioritizing which are the businesses we really want to put the dollars in and what are the best, the most impactful parts of this. And so I agree on the two wins I talked about today, both of those were targeted G&I-type projects and we are having success. We are just, I think applying our dollars differently than we did 3 years or 4 years ago, a lot smarter targeting.
Scott Graham: Okay, those are great answers. I thank you for that. And if you don’t mind, if I just sneak one more here, pricing in the quarter, is that something you can talk about?
Bob Arzbaecher: I am going to let you sneak one more just because you are such a long-serving analyst for Actuant.
Karen Bauer: I want to cut you off.
Bob Arzbaecher: Karen want to cut you off.
Scott Graham: I know.
Bob Arzbaecher: The answer is, Scott, very diverse across the businesses. I don’t think pricing had any impact in industrial. It had a small impact on Hydratight, a bigger one on Viking, particularly in Norway. When I go to Engineered Solutions, nothing has risen to my attention in the first month that would say there was any pricing issues.
Scott Graham: Thanks a lot guys.
Operator: Thank you. [Operator Instructions] The next question we have is coming from the line of Stanley Elliott with Stifel. Please proceed.
Stanley Elliott: Good morning everyone and Bob welcome back. A quick question about the destocking, typically in your experience, how long does this last, also kind of mentioned we are in the latter part of the innings, does the guidance anticipate any level of restocking in the back half of next year?
Bob Arzbaecher: Like I say, I would think a six month destocking would be about normal. They don’t really last so much longer because there is candidly not that much inventory in the field. It’s not like cars or something. And do we have any – we do not have any inventory build expected for the year.
Stanley Elliott: And then kind of switching gears to free cash flow guide, could you help me bridge that, if you are looking at kind of the midpoint of the EPS range, is that $80 million or so in net income and the conversion ratio I guess to get to the midpoint of the free cash flow guidance seems to be a little bit heavier than what you have done historically and is it lower CapEx, is it more working capital, any sort of help that will be great?
Andy Lampereur: Sure. This year we had a pretty tough, pretty challenging year for a free cash flow standpoint because we had heavy income taxes. Some of the income taxes we paid out this year actually related to last year’s divestitures. CapEx next year should be roughly in line with what we had this year. The biggest swing, I think will be around income taxes in particular. One of the other items is in here is the beginning of this year we paid out the retention agreements on the Viking acquisition, which were about $5 million and those are a one-time cash usage in fiscal ‘15 that will not repeat. So when you start adding up some of the one-time hits you have in fiscal ‘15 from a free cash flow standpoint, it certainly – I feel good about the cash flow number for ‘16, I really do.
Stanley Elliott: Perfect guys. Thank you very much and see you next week.
Operator: Thank you. And our next question comes from the line of Justin Bergner from Gabelli & Company. Please proceed.
Justin Bergner: Good morning, Bob. Good morning, Andy. Good morning, Karen.
Bob Arzbaecher: Good morning.
Justin Bergner: My first question is a follow-up on the free cash flow question, if I take sort of the high $70 million, maybe $80 million of net income and add back $30 million difference between depreciation and amortization in CapEx sort of similar to this year, I still come up a bit short of the $110 million to $120 million, so sort of what gets me into that range and does restructuring cash costs work against the free cash flow guidance?
Andy Lampereur: It will be a bit of a drag. Restructuring will be a bit of a drag this year. Some of the charges that we have for restructuring will be non-cash, some of them will be lease charges to cover a couple of years of leases, so you have a little bit of drag not just in the year you take the hit, but in the following year as well. One of the other items that you may or may not have factored in is equity compensation expense, you called out depreciation and amortization expenses as non-cash items offset by CapEx. But we have got another $12 million, $13 million pace in non-cash equity comp expense coming through each year. There is some bonus expense baked in fiscal ‘16 as well that wouldn’t be paid out in fiscal ‘16 and paid out in fiscal ’17, so each of those items contributes to it.
Justin Bergner: Okay, that’s helpful. And then the free cash flow is after cash restructuring expenses or before, the $110 million to $120 million?
Andy Lampereur: I have factored in net cash after.
Justin Bergner: Okay, great. And then my second question just if I may, one big picture question, which is how would today’s presentation and how would sort of the ‘18 outlook have looked or sounded different if there hadn’t been a CEO change?
Bob Arzbaecher: Great question, one that we can only hypothesize, right. I am glad you asked that question because I didn’t probably stress it enough in the presentation. This guidance and this plan was created in the numbers that come up to that target of $300 million and 18% were created as part of the strategic plan. We review that strategic plan in the early summer with the Board. It’s accumulated by bottoms up analysis of the segments and put together. Andy puts the numbers together. We have to make some acquisitions assumptions. We make some currency assumptions. And we come up with this plan, okay. So what you are seeing now is a change in the communication of that plan. We have always done a 3-year forward plan. We have never endorsed one in the future, okay. We have never come out with this kind of guidance. And there are plenty of companies who do this very well. Honeywell would be an example of one that does a great job of putting out long-term target and then rallying the organization to hit that plan, having annual milestones, etcetera. That’s what we are trying to create within Actuant. So it’s not a new process. I doubt the numbers would be any different, whether Mark would have communicated it as passionately as I am and rallying the organization around it, that would be different. But I really want to leave you with the impression that this is not a Bob Arzbaecher bait scenario that came up in the last month and ta-dah, here is the moment. This is a derivative. This is an outcome that comes out of the strategic planning process and has been packaged in a visionary way that we can put it in buckets that you can understand and equally as important that the employees are around the organization can understand what are we driving to, what are we trying to get to?
Andy Lampereur: The other two sense I would add to that is when the change took place, one of the first things that Bob asked me is that, tell me where we are going to be in ’18, so I pulled up the strategic plan and I said we are going to be at $300 million of EBITDA in 2018. And his numbers were a little bit different as far as some of the composition, as far as how much came from savings, from the resistance...
Bob Arzbaecher: The restructuring was more robust.
Andy Lampereur: From core growth and that sort of thing. But we ended up essentially – it is the strategic plan that’s out there. So I guess you can theorize different ways, but that’s where the number tied out towards that plan.
Justin Bergner: Great, thanks.
Bob Arzbaecher: As a Board member, I had many discussions with Mark about creating this vision, that hey, with the current malaise in energy, nobody is buying Actuant’s stock for the next quarter’s earnings, they are looking for where this thing is, how is the market share, how does things look. It just he was less comfortable putting out a goalpost, just to be candidly honest with you, he was just more uncomfortable with that. I am not uncomfortable with that and it’s not just because I am 1-year CEO. I am comfortable with it because I see how it was built up from the grassroots strategic plan. And I want to rally the organization around it because that’s the way you hit these things, is to rally the organization around it.
Justin Bergner: Great, thanks. Look forward to hearing more next week.
Operator: Thank you. And there are no further questions. At this time, I will turn the conference back over to you.
Karen Bauer: Great. Well, thanks everyone for joining the call today. We will be around all day to answer follow-ups you have. Just a note for your calendar, our first quarter call will take place on December 17. As we mentioned, we have the Investor Day coming up. The registration is closed, but as we have done the past couple of years, we will post the slides and actually videotape of the ATU update and the Enerpac overview on the website a day or so after the event. Thank you.